Operator: Hello, and welcome to the Atmos Energy Third Quarter 2020 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 It's now my pleasure to turn the call over to Dan Meziere, Vice President, Investor Relations and Treasurer. Please go ahead, Dan. 
Daniel Meziere: Thank you, Kevin. Good morning, everyone, and thank you for joining us today. With me this morning are Kevin Akers, President and Chief Executive Officer; and Chris Forsythe, Senior Vice President and Chief Financial Officer. Our earnings release and conference call slide presentation, which we will reference in our prepared remarks, are available at atmosenergy.com under the Investor Relations tab. 
 Today's presentation also includes references to non-GAAP financial measures. You should refer to the information contained in the slides accompanying today's presentation for definitional information and reconciliations of non-GAAP measures to the closest GAAP financial measure. 
 As we review these financial results and discuss future expectations, please keep in mind that some of our discussion might contain forward-looking statements within the meaning of the Securities Act and the Securities Exchange Act. Our forward-looking statements and projections could differ materially from actual results. The factors that could cause such material differences are outlined on Slide 32 and are more fully described in our SEC filings. 
 With that, I will now turn the call over to Kevin. Kevin? 
John Akers: Thank you, Dan, and good morning, everyone. We appreciate you joining us today and your interest in Atmos Energy. I hope you and your families are safe and healthy as we continue to navigate our way through this challenge together. The safety of our employees, our customers and the safety of our communities remain our focus as we continue to deliver safe and reliable natural gas service. Today, over 95% of our employees continue to work remotely as we are doing our part to reduce the spread of the virus, following the CDC guidelines as well as following our safety protocols such as hand washing, practicing social distancing and wearing face coverings. As I've said before, we were early to transition to remote work and we will be very intentional about returning to our offices. We continue listening closely to the health experts and following the data as we go about our daily operations. 
 As I shared last quarter, through the outstanding work of our Risk Management and Compliance Committee, our senior leadership team and all 4,800 Atmos Energy employees, we were well prepared to transition every facet of our business to a remote work environment in mid-March. That level of preparation and agility served us well as we continued executing at the highest levels during the third fiscal quarter. For example, our customer service agents and service technicians continued providing exceptional customer service, as indicated by our customers rating their satisfaction with our agents and technicians at 98%. 
 Our strategic focus on digital bill delivery and payment options is yielding benefits as the percentage of electronic bills issued as of the end of the third quarter increased to 45%. And our electronic methods of payments received such as bank drafts, credit cards and online banking increased to 76% of the payments received as of June 30. Through these innovative electronic bill delivery and payment channels, Atmos Energy and our customers are doing our part to conserve environmental resources. For example, on an annual basis, the use of this technology saves approximately 1,300 tons of wood, nearly 6 million pounds of carbon dioxide equivalent, 7 million gallons of water and nearly 400,000 pounds of waste. During the quarter, we deployed mobile wallet, a unique bill delivery platform enabling customers to view and pay their bill and manage their Atmos Energy accounts from Apple Wallet or Google Pay. 
 I also want to highlight the great work of our Safety and Enterprise Services and Operations teams that they are doing in the area of damage prevention, especially given we are just 5 days away from National 811 Day. This work is an integral part of our ongoing commitment to safety and our proactive measures to help raise awareness about third-party excavation damage, which is one of the greatest threats to the safety of distribution systems. Our teams have implemented a damage prevention ambassador program. They've developed social media alerts and other public awareness campaigns, such as postponing nonessential digging during the COVID-19 pandemic. All these efforts support the year-to-date result of a damage rate that is less than the industry average. 
 Using our safety practices and protocols I mentioned earlier, we have continued executing our proven investment strategy and remain on track to meet our capital spending range of $1.85 billion to $1.95 billion. A safely performing distribution and transmission pipeline system work that includes maintenance and compliance activities, pipe replacement, line locating and system inspections. Our fiscal year-to-date consolidated capital spending grew 17% to $1.4 billion, with approximately 88% of our spending being directed towards safety and reliability, all to modernize our system. Finally, our financial position remains very strong. And at the end of June, our liquidity was almost $3 billion, and our balance sheet continues to be very strong. 
 Now I'd like to turn the call over to Chris for a financial update, and I will turn shortly with a few closing remarks. Chris? 
Christopher Forsythe: Thank you, Kevin, and good morning, everyone. Yesterday, we reported fiscal 2020 third quarter diluted earnings per share of $0.96 compared to $0.68 in the prior year quarter. Year-to-date, we reported diluted earnings per share of $4.37 compared to $3.88 in the prior year period. Results for the quarter and year-to-date periods included a onetime noncash income tax benefit of $21 million or $0.17 per diluted share related to a change in our state deferred tax rate resulting from legislation that was passed by the Kansas Legislature in June to eliminate the assessment of state income taxes on regulated utilities operating in the state. As a result of the change in our state deferred tax rate, we reduced our deferred tax liability by $33 million during the fiscal third quarter. We established a $12 million regulatory liability for excess deferred taxes that will be returned to Kansas customers, and we recognize remaining $21 million as a onetime income tax benefit. Excluding this nonrecurring benefit, diluted earnings per share for the third fiscal quarter was $0.79 and $4.2 year-to-date. 
 Consolidated operating income during the 9 months ended June 30 rose over 10% to $723 million. Rate increases in both our operating segments driven by increased safety and reliability spending totaled $111 million. We also experienced a $10 million increase in distribution operating income, primarily due to customer growth in our Mid-Tex division. During the 12 months ended June 30, our Mid-Tex division experienced net customer growth of 1.6%. On a consolidated basis, we experienced net customer growth of 1.3% over the same period. 
 The impact of COVID-19 did not have a material impact on our year-to-date operating income as we are able to align our O&M spending with a decline in nonresidential customer consumption we experienced during the third quarter. Through the first 9 months of the fiscal year, we earned approximately 85% of our distribution revenues. Additionally, residential revenues comprised approximately 60% of our distribution revenues during the second half of the year. These bills are at their lowest during this time. 
 Finally, we collect a significant portion of our revenues, excluding gas costs, through the base charge, which partially insulates us from volumetric risk. For most of our service territories the base charge represents the largest portion of a customer's bill by the middle of our third fiscal quarter. For the year-to-date period, we experienced a $7 million reduction in operating income due to lower sales and transportation volumes during the third quarter. We did not identify a meaningful change in residential consumption due to COVID. However, we did experience a 14% decline in nonresidential consumption. We also saw a $3 million decline in service order revenue, primarily due to the suspension of collection activities. Our nonresidential consumption decline was concentrated in our commercial customer class, which declined 18% during the third quarter compared to the prior year quarter. We experienced most of the volumetric decline in our Mid-Tex and Louisiana divisions. 
 During the quarter, we saw commercial consumption climb by as much as 30% compared to the 2-year historical average in certain of our states by mid-May as shelter-in-place orders in our service areas impacted their businesses. However, since that time, we have seen a steady improvement. Through mid-July, commercial customer usage was just 11% below the 2-year average over the same period. 
 Additionally, we experienced a 12% decline in transportation volumes during the third quarter, primarily due to slower economic activity in the Automotive and Metals sectors. These declines in operating income were offset by a $17 million decrease in O&M expense, primarily associated with employee costs for overtime; standby and other costs; lower travel and training costs; and the temporary deferral of pipeline maintenance activities. 
 In our Pipeline and Storage segment, over 80% of APT's revenues are earned from delivery services to our Mid-Tex division and a few other LDCs under a straight fixed variable rate design. The remainder of APT's revenues relates to its 3 system business and other ancillary pipeline services. As a reminder, APT only keeps 25% of revenues earned from these activities under its straight design. 
 During the third quarter, we experienced a net $2.5 million decrease in transportation and other revenue in this segment. APT's quarter-over-quarter through-system volumes declined 19% and prices declined by 30% due to reduced associated gas production in the Permian Basin. Year-to-date, transportation and other revenue declined by less than $1 million. 
 Slides 6 and 7 provide additional details of period-over-period changes to operating income for each of our segments. On the regulatory front, to date, we have implemented $123 million in annual operating income increases. Additionally, we received approval for the 4 Texas GRIP filings that we voluntarily delayed in March for $23 million. These filings will be implemented on September 1. Currently, we have $141 million of regulatory filings in progress, most of which are scheduled to be implemented during the first quarter of fiscal 2021. Details of these filings can be found on Slides 19 through 29. 
 And other regulatory matters, we have orders in 5 of our 8 states that address the impacts of COVID-19. These orders cover more than 85% of our distribution customers and APT. Generally, these orders allow us to defer net incremental expenses, including bad debt expense and in a few of our states, certain lost revenues due to COVID-19. We are still evaluating these orders. Therefore, we did not record any regulatory assets or liabilities related to COVID-19 as of June 30. Slide 14 summarizes these orders. 
 As of June 30, our balance sheet and liquidity remains strong. Our equity capitalization was 58.8%, and we finished the quarter with approximately $2.9 billion in liquidity, including $750 million in cash between our operating accounts and ATM net proceeds. 
 During the third quarter, we executed new forward sales arrangements for approximately 2.3 million shares with anticipated net proceeds of $234 million. Additionally, we sold approximately 1 million shares for $100 million. Through June 30, we had sold about 3.6 million shares for $359 million. And as of June 30, we had about $547 million in cash available under equity forward arrangements. 
 Yesterday, we reaffirmed our adjusted earnings per share guidance range of $4.58 to $4.73. We now have more clarity around how COVID has and continues to affect our business from a customer perspective and an operational perspective. Based on what we understand today, we now believe earnings per share will be at the upper end of the range. For the fourth quarter, we have assumed similar nonresidential consumption declines that we experienced in the third quarter as several of our states have slowed the pace of reopening their economies. Additionally, we expect fourth quarter O&M to trend similarly to what we experienced during the third quarter. Slides 15 and 16 provide additional details around our guidance. 
 Thanks for your time this morning. I'll now turn the call back over to Kevin for some closing remarks. 
John Akers: Thank you, Chris. Community service is woven into the fabric of Atmos Energy's culture, we call Atmos Spirit. And our 4,800 employees take pride in fueling safe and thriving communities each and every day. During National Hospitality Week -- or Hospital Week, in May, we saluted our medical professionals’ heroic efforts by delivering more than 12,000 meals to health care heroes across our 8 state service area. In valuing our strong partnerships with local restaurant owners and chefs across our 1,400 communities, we celebrated Take-Out Tuesday, an initiative that brings support to local restaurants by offering all employees the opportunity to enjoy lunch from the favorite neighborhood restaurant. Along with these enterprise-wide efforts to lift each other up during these uncertain times, we are fueling safe and thriving communities in ways both large and small. By working with school districts, early childhood programs and nonprofits across our service area to improve the reading proficiency by third grade and to feed hungry children so they can learn and thrive. I'm truly inspired by the many ways our employees come together to give of their time and talent to further support those who need a helping hand. 
 As I said earlier, our robust risk management process has served us extremely well during this pandemic and will continue to guide us as we execute at the highest levels on all facets of our business. Our year-to-date results were in line with our expectations. Our balance sheet is strong, and we have further enhanced our liquidity. Our focus remains the same: the health and safety of our employees, customers and communities as we execute our proven investment strategy; and continue delivering safe, reliable, affordable and efficient natural gas to homes, businesses and industries to fuel our energy needs now and in the future. 
 With that, I'll open it up for questions. 
Operator: [Operator Instructions] Our first question today is coming from Richie Ciciarelli from Bank of America. 
Richard Ciciarelli: Just curious given some of the deterioration in volumes you've seen on the nonresidential side and, obviously, appreciate the confidence for the back half or the remainder of the year in 2020. But just curious how you're thinking of things beyond that in light of the COVID impacts? And just really considering the fact that you and then really all of your gas LDC peers haven't gotten to experience this through the more meaningful peak winter heating season? 
Christopher Forsythe: Well, Rich, that's a good question. With the fiscal year-end rapidly coming to a close, we're deep in our planning cycle right now and we're certainly evaluating what's going on in the economies in the 8 states that we serve. And so we're keeping a close eye on that. We're not ready to announce yet what assumptions we're going to put into the fiscal 2021 guidance. As you know, we'll roll that out here in the fall in November. But we are taking a look at that. We're also assessing operationally what we're going to be doing to keep our employees safe and the community safe, and we'll have a better picture and more information to provide in November. 
Richard Ciciarelli: Got it. And just a follow-up on that a little bit, if I can. Just given like the annual true-up mechanisms you have for your O&M efforts, is there any other offsets that you could pursue into next year if the economic recovery is a bit more prolonged? 
Christopher Forsythe: When you say offsets, I mean, it's primarily -- we just have to continue to see, first and foremost, what we can do in terms of work that can be performed and doing it in a way that we can keep our employees safe, keep our community safe. And as Kevin said at the top of the call, doing our part to minimize the spread of the virus in the community. So we, obviously, have compliance work that has to be completed on certain schedules and time lines, and we can't let that slip. But we will be evaluating things, but we do have a little bit of discretion in the event that we do need to align our O&M with any potential volumetric and revenue declines due to the pandemic. 
Operator: Our next question today is coming from Aga Zmigrodzka from UBS. 
Aga Zmigrodzka: How should we think about your equity needs for 2021? Is it fair to assume that with the updated forward equity agreements that will be sufficient or should we expect a larger equity offering? 
Christopher Forsythe: I think we've been pretty consistent now for the last year, 12 to 15 months that the ATM is our preferred method for raising equity. We've got our financing plan out there, and we intend to do -- execute that financing plan in a balanced fashion with both long-term debt and equity. And we'll seek to use the ATM to the best of our ability to meet those equity needs for fiscal 2021 and beyond. 
Aga Zmigrodzka: What has been an increase in bad debt? And how quickly you can recover those costs for the mechanism that you have in place? 
Christopher Forsythe: So far, it really hasn't materially impacted us, and there's a couple of things to keep in mind around bad debt and collections. First, in all of our service territories, moratoriums are still in place that -- or in most of our service territories to prohibit the disconnect or resumption of collection activities. We then need to evaluate what the tone is from the regulatory environment. What's the tone from just the community in terms of those types of activities. Once we do begin to collect or resume collection activities, one, that could be several months down the road. But then number two, we won't see the impact of really bad debt until well beyond the resumption of those activities because it takes a certain number of months for it to work through the process of collection before it ultimately gets written off. 
 So right now, as where we sit here today it hasn't had a material impact on our business for fiscal 2020. Certainly, a watcheye and that we're keeping an eye on for fiscal 2021. But we think it's going to be some time before we begin to see that -- those bad debts really begin to rise up. And then you have to work it through the regulatory process and because we do have the opportunity first to have an annual filing mechanism. And as I mentioned, we do have the reg asset orders in 5 of out of 8 states, which provides us another tool to address those types of costs. I think at this point, it's probably just a little bit too soon to tell when exactly we're going to see that rise in bad debt. And then number two, when it will ultimately be reflected in rates. 
John Akers: Yes. Aga, this is Kevin, I'll just follow-up a little bit on that. In addition, our customer service agents and our customer advocacy team that supports those agents have been for several months now reaching out to customers in all classes, residential, commercial and industrial, about different payment options that exist out there for them, LIHEAP, local health agencies those sort of things. And whether those were outbound calls, letters, some folks allow us to have their e-mail address, getting in contacting with it. That way, we've been very proactive in reaching out to customers that appear to be having a tough time paying their bill. And we're going to continue to do that as we move forward and head towards this upcoming heating season. 
Aga Zmigrodzka: I have a last question. Could you please maybe discuss a little in more detail what are the components of lower O&M? What is short in nature and you could still benefit from that in 4Q? And how much of cost savings you're expecting going forward kind of more sustainable? 
Christopher Forsythe: Sure. 
John Akers: Yes, the type of work... 
Christopher Forsythe: Go ahead, Kevin, you start. 
John Akers: Well, I was going to talk about the components and things that we looked at that we could defer going into the period. I'll hand off to Chris to talk to you about the numbers specifically. But there's such things like this right-of-way encroachment clearing trees, overhang brush, those sort of things, cleanup around GIS data, record digitization, those sort of things. And where we're ahead on certain inspections on our systems right now. Those things that we can move out to a different period, not do away with, not cancel, but move to a different period. Those are the sort of O&M things that we have shifted during the last quarter to 2 quarters and are currently evaluating now what opportunities do we have maybe to pick back up some of that and what does that timing look like as we head that into the end of this fiscal year and into next fiscal year. Chris? 
Christopher Forsythe: Yes. I would just say to add to that too, as we are still working remotely. So as I mentioned in my prepared remarks, we are still seeing lower employee travel entertainment costs, some of the overtime and standby. Certainly into the third quarter, we expect that to be consistent as we move into the fourth quarter. And -- so again, it's basically items that are certainly within our control, items that we don't have to -- where there's -- it's not a compliance deadline related where we have a little discretion around the timing of that and in terms of actual dollars saved. Again, as we think about 2021, we'll provide a little bit more color around our O&M spending levels for '21 in November. 
Operator: Our next question today is coming from in Insoo Kim from Goldman Sachs. 
Insoo Kim: A question on just demand trends that you're seeing on a more geographic basis. I know the bulk of your exposure is in Texas, but you do have exposure to a lot of different states. Just which jurisdictions are performing from a demand perspective, better than what you expected and which are a little bit more concerning? 
Christopher Forsythe: Well, as really the -- what we're seeing across the board, as I mentioned, Mid-Tex and Louisiana in the third quarter were probably the hardest hit from a volumetric perspective. And that was in that all in, in the 20% range. The other states range anywhere from 9% to 17%, 18%. And as I mentioned, too, we have seen a steady improvement since really the middle part of May, kind of when things seem to have bottomed out. So all in, when I talked about that 11% versus the 2 year historical average, most of our divisions now are kind of right in that range. You do see a little bit of weakness still, but again, it's improving in a bit in Mississippi and Louisiana. But overall, things continue to trend in a better way than what we were seeing in the first half of the third quarter. 
John Akers: Yes, Insoo, this is Kevin. The other thing I'd just add is if you go back in, as we did, as we're looking at these volumes, we also look at the unemployment rates. As some of our jurisdictions opened up their phased reopenings and moved into the second and third tiers of those, if you will, we've noticed slight improvements in the unemployment rates in just about every jurisdictions from an April Bureau of Labor Statistics average. If you look at those through the June numbers, almost every one of them has shown some slight improvement. We think that's reflected again back in those states reopenings, commercial, retail, some other businesses, industrials, opening back up, bringing folks back in and picking up some of the business there. So that was a good indicator for us as well. 
Insoo Kim: Great. In terms of cost contingencies, I think you spoke on it and a couple of people have asked the questions already. But given a little bit stronger-than-expected performance for this year, does it, all else being equal, give you a little bit more contingencies that you could utilize in 2021? 
Christopher Forsythe: Like I said earlier, yes, we're still evaluating and putting together our fiscal 2021 budget. We'll have to, obviously, see what's happening with our customer behavior, particularly on the nonresidential side and in the -- here in the fourth quarter before we make a final determination of what -- or how we align our O&M going into 2021. So we'll have more color on that in November. 
Insoo Kim: Got it. And finally, just on the technology side, I think you mentioned things like automated customer bill payments and whatnot. Whether it's that or other technological advancements you are making or plan to make on the horizon? Are -- what type of efficiencies could you realize from those type of -- that type of work? 
John Akers: Yes. I'll talk a little bit about that. And -- the more data, access to data and providing data in a sooner format, in a better format, a consumable format, more in real time, if you will, an example of that is our WMR network. We're now working with our vendor to have real-time cathodic protection pilots on our system. So now it's going on and having manual reads on our system. We can upload those through our network and get those readings off of our pipeline and our distribution system in real time. Now that again, not much from an efficiency standpoint, but it provides continuous monitoring of your system and allows you to identify where you might have a cathodic protection system down sooner rather than later. We continue to roll out our automated leak detection equipment as well. And you heard us talk before about our Locus Map technology that we are in the final stages of rolling out to some of our crews here in the Mid-Tex division, which allows us to gather construction, material information, geo location positions in real-time as we're at these sites and upload those right back into our compliance systems. 
Operator: Our next question today is coming from Ryan Levine from Citi. 
Ryan Levine: What's the capacity resistance to handle hydrogen? And is that capacity different than the RNG capacity from a constraint standpoint? 
John Akers: Yes. Ryan, 2 separate things there. We know there's a lot of discussion here lately about hydrogen, particularly with some of the things that are going on in Europe right now. And I know some of the dual fuel companies are talking about projects at particular sites, a site-specific hydrogen utilization, if you will. So it's a much different look than if you think about some of the discussion of blending. That's not yet on the near-term horizon. There are studies going on through particular groups associations. GTI even has a group together that's studying opportunities around hydrogen at this point. So that to say, I think, it's early for us to think about, to your question, how does that fit into our current distribution system. There's a lot of things that need to be worked out from a material standpoint, a supply standpoint, a utilization standpoint at the customer premises. So, I think, that's further out for us. It is separate from RNG, whether it comes from landfill or it's captured through digesters. The only challenge there is the BTU content, the quality of the gas. But once you get over that hurdle, it blends right in with the rest of our stream that we're delivering to customers. And as we talked about before with you, we're doing about 5 to 6 Bcf a year of RNG across our system that we're moving, and we continue to look for those opportunities near our system today. 
Ryan Levine: And then to clarify some of the earlier questions, in terms of contingencies in place to the extent that COVID impacts extend into the winter months. Am I correct in hearing that the key tools that you're looking at are O&M cost management and potentially capital market activity or are there other opportunities that you can pursue in order to adapt to the market conditions? 
Christopher Forsythe: I think you hit it on the head. It's just the -- again, looking at the O&M, aligning that O&M with the revenues that we're expected to get going into the next fiscal year. We're certainly mindful of the capital markets opportunities as well. As you can see in our 10-Q, we have layered in some hedges for future financing activities going out for a few years now to help lock in or take advantage of some of the current interest rate environment. So those are a couple of opportunities as well. So I think those are 2 very good ones to keep an eye on, and that's certainly items that we are contemplating as we finalize our fiscal '21 plans. 
Ryan Levine: On the capital market activity, given your regulatory construct, would you look to cement those plans in the coming months or could they be phased in over a broader time period, if you were to... 
Christopher Forsythe: I am not sure I understand your question, Ryan. 
Ryan Levine: Would you need to refinance debt or raise equity into the calendar year-end given the regulatory constructs in different jurisdictions? Or can you be more patient, if that's an option that you wanted to pursue? 
Christopher Forsythe: I see. Yes. So really the financing needs of the corporation, they're outlined on the website. It's at $5 billion to $6 billion over the current 5-year planning window of 2020 through 2024. Obviously, we'll update that in the fall as well. And those financing needs are really driven just by the -- primarily by the cash flow needs of the Corp and the spending needs. So I think we'll evaluate the timing and the execution of the various tools that we have available to us from a financing perspective. But we -- and obviously, you can also see we've layered in hedges for the fall for an anticipated debt issuance. So that one is kind of forecasted already and is out there for all to see. 
Operator: Our next question today is coming from Charles Fishman from Morningstar. 
Charles Fishman: I had a question on Slide 8, capital spending. Certainly, the 17% increase is terrific. You say you're on target. I guess, I happen to be in the Dallas area over the July 4 weekend and the construction along I-75 is amazing. And I was just wondering if you could provide some color. Is your new construction connections, which, I believe, is not part of the 88% safety and reliability, is that on target as well? Has that been impacted by COVID-19, at least with respect to your plan? And, obviously, my viewing is just a small piece of all your jurisdictions. I wonder if you can maybe provide some color on new construction in your other jurisdictions because, obviously, you don't have as much control over that as you do on the safety and reliability spend. 
John Akers: Right. I'll start out with a little color on the North Texas area there as you talked about and then on some of our other jurisdictions. But going into COVID and particularly the first month, 1.5 months, we did see a bit of a slowdown of dip, if you will, in the housing market, in particular, but they quickly rebounded. We're doing virtual tours of homes. The inventory of available homes on the market quickly tightened up. And we're seeing a lot of individuals, as you know, with the low interest rate, moving to the new construction. So we certainly see that pick up as things started to open back up and we got into these phased reopenings. 
 We continue to see good growth in that market here in the North Texas area. I think as we said last year, we're experiencing somewhere around 1.5 to 1.6 net customer growth on the system, particularly all -- most of that is going to be here in the Metroplex area. So we've continued to see a little bit of a lull, but now a pickup in that residential market. And in other areas, not to quite that scale, but outside of Nashville in our Franklin service territory, we continue to see some good residential growth there as well and then outside of our Kansas City location and Olathe that area, we do continue to see some residential growth as well. All taking advantage of, we believe, as we keep a handle on, have conversations with builders, developers and realtors association, trying to take advantage of this low interest rate environment. 
Charles Fishman: So as we look -- as we sit here today, 2021, do you expect customer growth to still be around the 1.5%? 
John Akers: Yes. I think that's a good indication here -- as we, again, talk to builders and developers, they're continuing to develop properties. They're continuing to have people come in. Right now, we are continuing to see strong activity in that area. And yes... 
Charles Fishman: That's all I had. 
Christopher Forsythe: I was just going to say the other piece that's driving it, too, is that same home sales. Folks that already have homes are staying in their homes for obvious reasons. And so the folks that are looking to get out of the apartment environment or maybe out of an urban downtown environment are now flocking into that new home and growth markets. So it's -- that's just another piece that's driving some of that the customer growth. 
Operator: [Operator Instructions] Our next question today is coming from Jeremy Tonet from JPMorgan. 
Peter Giannuzzi: This is actually Peter on for Jeremy. I just have a quick -- I just have a quick question on the EPS sensitivities, the update that you gave here. Is the change each quarter or at least what we have strictly related to historical demand for each customer class or are there other factors that you kind of think about when you give these? 
Christopher Forsythe: Yes. So on Slide 13, we do have the EPS sensitivity that we've updated that for the fourth quarter. So you can see again, on the bottom 1/3 or bottom half of the page, the revenue by customer class, residential on down through the nonresidential and then the sensitivities to the right. So that's basically the 1% change relative in the customer volumes in the fourth quarter and kind of how that moves it for us. So in terms of how that compares to the prior year, I mean, that's just a 1% change for each of those customer classes produces that EPS sensitivity. 
Peter Giannuzzi: Right. Okay. And so that's for the last quarter kind of right on a stand-alone basis. And then just to clarify, the one -- the sensitivity you provided at your last call, that was for just the back half or that was for on a full year basis? 
Christopher Forsythe: That was for the back half of the fiscal year. So we'll probably update this slide again in November to provide a better impact or what that 1% looks like on a full fiscal year basis here in November. 
Peter Giannuzzi: Okay. And then, I guess, just last one here. I guess, looking at the sensitivities, obviously, lower for each class compared to what you showed for the back half last quarter. But should we think about the net impact kind of being the same as we see recovery across all classes where residential still kind of offsets the same amount of, I guess, drag from the other classes like -- on a relative basis, kind of like what we saw in 3Q? 
Christopher Forsythe: Well, a couple of comments there. I mean, the impacts are smaller here in the fourth quarter because as I mentioned in my prepared remarks, the first half of the third quarter, you're still seeing some volumetric influence across all customer classes and now beginning at the latter half of May and June, all the way to December, we're primarily into the base charge component only of the bill given the summer months. So I mean what remains to be seen exactly how customers are going to behave. Like I said, we have seen modest improvement since the lows have been made. That's something we're watching very closely. And it's for that reason, we don't have -- it's hard for us to predict as we look out, particularly as some of our reopenings have slowed a little bit. So that's why we provided the sensitivities in 13 for you to make that assessment. 
Operator: We've reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further or closing comments. 
Daniel Meziere: We appreciate your interest in Atmos Energy, and thank you for joining us. A recording of this call will be available for replay on our website through November 12, 2020. Have a good day. 
Operator: Thank you. That does conclude today's teleconference and everyone, you may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.